Operator: Good day, ladies and gentlemen. Welcome to Compania de Minas Buenaventura First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode and please note that this call is being recorded.I would now like to introduce your host for today's call, Mr. Rodrigo Echecopar, Investor Relations. Mr. Echecopar, you may begin.
Rodrigo Echecopar: Good morning and welcome everyone. Presenting on the call today is Mr. Victor Gobitz, CEO. Also present and available for your questions are Mr. Leandro Garcia, Vice President and CFO; Mr. Juan Carlos Ortiz, Vice President of Operations; Raul Benavides, Vice President of Business Development; Alejandro Hermoza, Vice President of Sustainability. In addition, joining us today is Mr. Roque Benavides, our Chairman.Before we get started during today's call, we will make forward-looking statements that reflect the company's current expectations about future plans and performance. These statements rely on assumptions and estimates and actual results may differ materially due to risks and uncertainties. I encourage you to read the full disclosure concerning forward-looking statements within the press release we filed on May 18th, 2020.It is important to note that these statements include expectations and assumptions which will be shared related to the impact of the COVID-19 pandemic. As seen on the slide two, our forward-looking statement also provides information on risk factors including the facts related to COVID-19 that could affect our financial results.In particular, there is significant uncertainty about the duration and complete impact of the COVID pandemic. This means Buenaventura's results could change at any time and the impact of COVID-19 on the company's results and outlook is a best estimate based on information available as of today's date.Please note, in the interest of safety, we're utilizing a more digital approach in exercising social distancing. While conducting this goal, we would ask you to please bear that in mind in light of any potential technological difficulties which could occur.At this time, let me turn the call over to Victor. Victor, please go ahead.
Victor Gobitz: Thank you, Rodrigo. Good morning to all and thank you for attending this conference calls. Before we start this presentation, we would like to wish you, your family and friends health and well-being at this difficult time. We are pleased to present the results of the first quarter of 2020 from Compañía de Minas Buenaventura. We have prepared a PowerPoint presentation which is available in our web page.Before we go further, please take a moment to review the cautionary statements shown on slide two. Please consider the new disclosures related to COVID-19 pandemic.Moving on to slide three, highlights were as follows. In this first quarter of 2010, results were adversely impacted by the state of emergency and related mandated lockdown instituted by the Brazilian government in order to contain spread of coronavirus. Due to the outbreak of COVID-19 in Peru and related restrictions imposed, Buenaventura lost 17% of its production for the first quarter of 2010.In this first quarter of 2020, EBITDA from direct operation was negative $6.8 million and the adjusted EBITDA for the first quarter this year which will impact associated companies reached $30.6 million.In this first quarter, capital expenditures were $10 million compared to $8.5 million for the same period in 2019.In this first quarter, net loss was $75 million compared with a net income of $27.3 million for the same period in 2019. The loss in the first quarter of this year consider COVID-19 related provisions of $9.7 million.The company's De-Bottlenecking Program continued progressing during the first quarter of this year. In 2020, the program focus on the company's Tambomayo, Uchucchacua and El Brocal mines.The company has a strong cash position of $222 million as of March 2020 and a monthly fixed cost of care and maintenance approximately between $12 million to $14 million. Also, we continue reassessing our current CapEx sustaining and growth, G&A, as well as a potential dividend payment to our shareholders in order to preserve liquidity.On April 3rd, 2020, the company announced the successful refinancing of its $275 million syndicated loan facility. Maturity for the new loan facility has been set for a new five-year term loan with a 30-month grace period, with semi-annual installments starting in October 2022.Buenaventura has already presented the required documentation to restart operations of all of its assets. We have already got all the permits to restart operations from the Ministry of Mines in all of our mines. An updated guidance will be reported once we achieve full capacity of production in all of our operations. The updated guidance is expected to be reported by the end of June.Moving onto slide four, the quarantine period in Peru was implemented starting in March 16th, 2020 for an initial 15-day period, which was subsequently extended. As of today, Peru’s government mandated quarantine is expected to end on May 24th, 2020During quarantine period, production on direct operations has remained on care and maintenance. All mining activities were limited to those critical activities. We continued to process ore on leach pads at Coimolache and La Zanja mines.On May 11th, Peruvian government authorized mining operators to gradually restart key activities and resume operations.Moving onto slide five, as you can see in this slide, we have summarized Buenaventura's current position after COVID-19 outbreak in the country. Buenaventura currently maintained a strong cash position of $222 million as of march 2020 and approximately a monthly fixed cost of care and maintenance between $12 million to $14 million.As previously announced in April 2020, Buenaventura concluded the refinancing of its syndicated loan and maturity has been set for a new five-year term loan with a 30-month grace period.Buenaventura will restart operations through a two-phased approach to prioritize those mines with the most significant production. In Phase 1, starting on May 16th, Tambomayo, Uchucchacua, El Brocal, which include, Tajo Norte and Marcapunta, and Coimolache operations.In Phase 2 starting on June 16th includes to restart the operation of Orcopampa, Julcani, and La Zanja.Buenaventura has already presented the required documentation for restarting operations in all of its assets and has obtained the permit from the Ministry of Mines to restart operations in all our mines.Moving onto slide six, the company has decided to report an updated guidance once all the operations achieve full capacity. However, the company continues to enhance its current mining plans in order to focus on high-grade areas while maintaining a focus on exploration and cost reduction efforts.Moving onto slide seven and eight, in these slides, we show the measures taken to transport our workforce safely, keeping the high sanitary standards and strict protocol to prevent the virus; spread. Here you can find the measures taken inside our facility. The main one consists of organizing work cells based on tasks, workforce use of common spaces, and accommodation.Moving on to slide nine, we are showing strategic map where we use, as usual, the capital B, from the logo, Buenaventura, as additional index for the following slides. In the coming slides, we shall discuss financial results of the company.Moving onto slide 10, for transparency matters, we have decided to record a monthly detail of our production, so you can appreciate in which way that COVID-19 has impacted our operating results.Moving onto slide 11, the decrease in this waterfall, you can see the decrease in revenues, is partially explained by a decrease in volumes sold, but in a greater magnitude to the current metal price.Moving onto slide 12, financial highlights. Total revenues during the first quarter was $114.5 million, which is 38% lower in comparison to our first quarter of 2019. This was primarily due to the decrease in volume sold of gold and silver.EBITDA from our direct operations in the first quarter of 2020 was negative $6.8 million in comparison to $28.4 million in the first quarter of 2019. EBITDA including our associates in this first quarter was $30.6 million, which is 82% lower in comparison to the first quarter of 2019.And net loss in this quarter was $75 million compared to a net income of $27.3 million a year ago. This net loss considered a provision of $10.7 million related to COVID-19.CapEx has increased to $10 million in the first quarter of 2020 compared to $8.5 million in 2019. The free cash flow in this first quarter of 2020 was $22.3 million compared to a negative $38.2 million of free cash flow in the first quarter of 2019, a significant and remarkable number when we reconsider the current situation.Moving onto slide 13, here again, you can see the capital B as additional index for analyzing the results from our portfolio of operations.Moving onto slide 14 and 15, attributable production to take in consideration that we suspended operations in the last 15 days of March and this period represents 17% of the total effective dates of the quarter.Total gold attributable production in the first quarter of 2020 was 89,000 ounces which is 21% lower than the few reported on the same quarter for the previous year. The decrease was mainly explained by lower production in Tambomayo and Yanacocha.Silver attributable production for this quarter was 3.8 million ounces which shows a decrease of 5% compared to the figures reported in the first quarter of 2019. This is mainly due to less production in Tambomayo.In the first quarter of 2020, 12.9,000 metric tons of zinc were produced, in line with the zinc production in the first quarter of 2019.In the case of lead, the production was 7,000 metric tons in the first quarter of 2020, which is 15% lower in comparison with first quarter of 2019.Finally, our copper attributable production for the first quarter of this year was 23.7,000 metric tons. This production mainly explained a 22% decrease in production at Cerro Verde.Moving onto slide 16, the all-in sustaining cost from our direct operations in the first quarter of current increased $2,052 per ounce of gold, mainly due to lower gold ounces sold in the period. It was caused by lower sales in Tambomayo and [Indiscernible]. The cost applicable to sales in the first quarter of 2020 were as follows; on gold, $1,510 per ounce, which is 44% higher than a year ago.Silver, $16.56 per ounce which is 38% higher than year ago. For lead, $1,411 per metric ton which is 6% greater than a year ago.For copper, $5,193 per metric ton, which is 12% lower in comparison to year ago. Finally, in the table, zinc, cost applicable to sales was $1,914 down which is 12% lower from a year ago.Moving onto slide 17, the De-Bottlenecking Program, As a result of the -- the company's De-Bottlenecking Program, we are gaining mining cost efficiency, that partially offset lower production outcome. As you can see, results for the first quarter were in line with budget, generating $10.4 million of additional EBITDA.This has included three graphs, where you can see a downtrend in the operating expenses 2017 to our first quarter 2020 estimate, considering no effects coming from COVID-19.Moving onto slide 18, once again, you can see our capital B from our low use for analyzing in more detail the updated information regarding our portfolio of projects.Moving onto slide 19, here we are presenting in one snapshot, our current development level for each one of our growth.Moving onto slide 20, San Gabriel project, the feasibility study and construction permit documentation by Ausenco in progress. And by prior consultation process possibly affected by COVID-19 social measures.Moving onto slide 21, the project Trapiche, we will continue this year with on-site column testing and power line right-of-pass activities. The Environmental Impact Assessment submission, social relations, and public assembly were delayed due COVID-19 restrictions.Moving on to slide 22, the Rio Seco project, our final team has postponed to 2020 with the COVID-19 restrictions. We expect to finish the feasibility study by the end of this year. The environmental impact by segment is expected to be approved in the first quarter of 2021. Just to recall, during this project, we intend to unlock a significant value of Buenaventura's capital portfolio.Moving onto slide 23, Tantahuatay's sulfides project. We expect to reach Pre-Feasibility stage by 2021, preparing the Environment Impact Assessment process initial documentation and we are finishing tailing dam basic engineering.Thank you for your attention and we hand the call back to operator to open the lines for questions. Operator, please go ahead.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]
Unidentified Analyst: Hello.
Operator: Carlos, your line is open on our end. Is your phone muted?
Unidentified Analyst: Yes. No, it is not. But I can hear you now. Can you hear me?
Operator: Please go ahead with your question.
Unidentified Analyst: Great. Thank you very much, and good morning, everyone. I hope you and your families are doing well. So the first question has to do with a restart of in -- of the two phases, Victor. I see that you're prioritizing those minds with more significant production, but to what extent costs and all profitability also play a role in these two stage strategies that you have put in place? Can you elaborate on that?As well as to, what do you see as the cost, if any, of restarting the operations? I mean, in the 12 million to 14 million fixed costs and care and maintenance that you highlight is that going to temporarily increase? Or are there any costs additional to those fixed costs? Just from the restarting point of view of the operations?And then you're talking about $12 million to $14 million, maybe Alejandro, the fixed cost doesn't include COGS, G&A, explanation expenses. Can you maybe drill down a little bit on the details as to what -- what costs are included there? And then finally, with all the moving pieces, I know that it's very difficult to forecast the cash flows, but how do you see working capital in the second quarter, given the inventories that you have it in your press release that you accumulated during the quarter at the end of the first quarter?Do you expect that as the economy -- economic activity normalizes in Peru you're going to be able to ship those -- those inventories and generate working cash -- out of working capital over working capital? Thank you very much and good luck
Victor Gobitz: Thank you, Carlos for your question. The first one is related to the restart in two phases. Definitely, this concept is based on the dimension of our operation and also in terms of profitability as well as taking into account the logistics that we have to transport number of people, workers to the site. So definitely, based on dimension of our assets profitability and away restrictions.In terms of cost, care, and maintenance, Alejandro put break down a number between the different mines and definitely this number between, $12 million to $14 million is not included, we are not included in G&A. Alejandro, please go ahead.
Alejandro Hermoza: Yes, Carlos, how are you? Thank you for your question. The total cost, the fixed cost is our operational fixed costs, the subsidiaries or -- subsidiaries the total -- between $12.2 million and $12.5 million. And G&A it's -- at an average of $4.5 million. So that will be the total cost for fixed cost of Buenaventura. In the case of Coimolache, as you know, it's an affiliate is a fixed cost is 1.9 a month.In additional COVID costs related in March. We have found -- we have explained around -- between $0.5 million and $1 million of additional cost, we foresee and these costs are all the instrumental the holding sanitary codes or all the transportation and additional -- for this COVID, clean durable [ph] and we will see this year will be at least 50% more in April.With respect of the deliveries for this second semester, we perceive that we can we will be able to delivery all the production that was in -- in our inventories in Tambomayo,, and once we begin operations in Orcopampa, we will treat all the orders that we stopped, because we working Orcopampa as with campaigns 15 days campaign and the campaign began in the last two weeks of the month and this lockdown came just a 15th of March and we could not process around 4,000 ounces of the -- for Orcopampa.
Unidentified Analyst: All right. Thank you. And just --
Victor Gobitz: Yes. Go ahead please.
Unidentified Analyst: No, yes, sorry. Just on Orcopampa things just -- that is part of Phase 2 starting on June 16. Do you think that you will be able to treat the ores or the material from the first quarter that wasn't treated in March and -- in those two last weeks of June?
Victor Gobitz: Yes. Good question Carlos. Juan Carlos Ortiz will explain with more detail.
Juan Carlos Ortiz: Hi, Carlos, thank you for the quarter. Yes. We were able to treat the ore that is stockpile in front of mine during the coming months. We have a spare capacity on the processing plant to do so.
Victor Gobitz: Carlos. Let me add that also we have to take in consideration that in the last 60 days, as a company, a significant experience dealing with this situation, with these barriers, because we maintain, at least 12% of our total workforce in search of these care and maintenance activities. So we are confident that we are following right approach in order to restart our operations.
Unidentified Analyst: Thank you very much, everyone. And all the best with the ramp up, and particularly with the -- just basically stay safe.
Victor Gobitz: Thank you, Carlos.
Operator: [Operator Instructions] The next question is from Thiago Ojea with Goldman Sachs. Please go ahead.
Thiago Ojea: Thanks. Thanks, everyone. Thanks for taking the questions. My first question is regarding Cerro Verde, we saw that you know there was a big miss on EBITDA on Cerro Verde I know that you are not the controlling shareholders. But if you can clarify exactly what happened with the realized prices there that would you know -- 30%quarter-over-quarter, when you know the LME prices actually were much lower, just 4% down. So if we can compare -- if we can discuss a little bit to this mismatch?And second, if you can also provide some more information on why you're restarting, the mine in two stages? Why you're not starting everything at once? It's a logistics problem. It's a strategy given the current copper price -- or the metals prices. If you can provide a little bit more granularity on that would be interesting. Thank you.
Victor Gobitz: Thank you, Thiago. Your first question is regarding our EBITDA. Our results differently there are two components, two main components. One of them is volume. We said we meet -- to profit 17% of date available, and the second part is related -- the second component of the lower EBITDA is related to the metal prices that we released. Probably, Alejandro you could get more information regarding this metal nickel price that we realized. And the second part is related to -- to the process to which our operation -- Juan Carlos will explain in more details. Alejandro?
Alejandro Hermoza: Yes. Sure. Thiago, realized pricing are very -- has been affected, because they choose not to sell all the material they have available and they have inventories on hold and not to -- they decide not to sell more than -- less than $5,000 per ton. So they have been affected of the current market. And also, they do not -- they have also an effect of -- they have not been realized sales.
Thiago Ojea: No, I understood that the first answer. If you can provide the second one, I appreciate.
Victor Gobitz: Yes, Carlos. You could explain with more details, why we decided to use this strategy of two phases?
Juan Carlos Ortiz: Okay. Well, Thiago, this is basically for prioritizing the more important assets of our portfolio and also with all the constraints by the logistics side. According to the rules, the new sanitary rules set by the government. We need to bring people from their own hometown not necessarily near the mines because these 1000 kilometer from the mines. We need to bring the people to medical station, take a rapid test to confirm if he is or not with COVID, if he's not with COVID, he can get into the truck and then we need to bring that person one way straight to mine.So, you can imagine bringing 1,000 people for each operation will take time; we need to go in groups of 60 to 70 people per group. Does the capacity of the health facility to attend these tests and in order to bring it up all the people, it will take a lot of logistical details, that the reason we put that in phases, in order to comply with the more important ones in the second half of May and the other ones in the first half of June.
Thiago Ojea: Okay. Thank you
Victor Gobitz: You're welcome, Thiago.
Operator: The next question is from Tanya Jakusconek with Scotia Bank. Please go ahead.
Tanya Jakusconek: Yes. Good morning, everybody and thank you very much for the call. I'm just wondering, in terms of the ramp-up of the operations for both phase one and phase two, maybe you can give us a little idea of how long it's going to take you to ramp-up to full capacity on all of these assets?
Victor Gobitz: Okay. Thank you, Tanya. Yes, definitely, we have our plan to obtain the full capacity around June. We can click this information, Carlos probably you could explain the phase 1 with more detail regarding Coimolache, Tambomayo, Uchucchacua that all to advance unit and also the program for El Brocal in phase 1.
Juan Carlos Ortiz: Perfect. As they ramp-up will differ but it will vary between two weeks to four weeks, depending on each mine. In Coimolache, we have all the camps already set and we believe is going to deviate between the two weeks' time period. The same for Tambomayo because they have an isolated camp, it will be easier and it will take a little bit more time for the towns or the mines that are nearby population because we need to be segregated from the population.We need to be working in a closed environment and so we need to change our setup, how we have all the people living around our footprint. We need to bring them into a new closed facility or closed area and sometimes it would take time to build these temporary facilities for the workers. So in short terms, two weeks in the Coimolache, Tambomayo mine are one of the most important one for us and up to four weeks in the other mines.
Tanya Jakusconek: Okay.
Victor Gobitz: Okay. Let me put me in a different way, Tanya. Right now in Tambomayo, we have achieved 100% of our main play capacity right now in Tambomayo. In Uchucchacua, we have achieved today 75%. In the case of Coimolache, 50% in a week we could expect to achieve 100% and El Brocal we are defined, we have 25% today, just today.
Tanya Jakusconek: Okay.
Victor Gobitz: In one week, we expect to achieve 100% in these big four mines.
Tanya Jakusconek: Okay. And then what about in phase 2?
Victor Gobitz: Yes. In Phase 2, its Orcopampa, Julcani and La Zanja and Carlos also, you could start explaining the situation around in these units and the survey.
Juan Carlos Ortiz: Okay. In La Zanja, it's also in a period of two weeks because you have a closed camp already built. So it's only bringing the people on board. And in the case of Julcani and Orcopampa more in the range of three to four weeks because we need to do some modification, but it doesn't mean that we are starting or we will have several productions from that phase. It means that we will to start by June 16th, which 50%, 60% and we will ramp-up to 100% in the next three weeks for Julcani and Orcopampa.
Tanya Jakusconek: Okay. So by the end of June or there about by July 1st or so we should be at design capacity?
Juan Carlos Ortiz: Yes, that's correct.
Tanya Jakusconek: Okay. And can I ask just the other logistics, all of them, transportation of your concentrate from the mine site to the port, is that all open or are we having issue at the ports in terms of shipping out the concentrate or DORE or whatever that you're doing, is that all open?
Victor Gobitz: Yes. It's good point, Tanya. I said during these 60 days of quarantine of lockdown, we maintained care and maintenance, we maintained special activities or critical activities and we were allowed to transport our concentrates and also our dollar. So this is a significant achievement. And during this period, we were reducing our inventories on site. So we don't have any issue, we are very confident that we could maintain the flows of materials.
Tanya Jakusconek: Okay. So the ports are open, ready for transportation on to your smelters around the world?
Victor Gobitz: Yes.
Tanya Jakusconek: Okay.
Victor Gobitz: Was maintained open during this pandemic.
Tanya Jakusconek: Okay. Okay, that's good. Thank you.
Victor Gobitz: You're welcome, Tanya.
Operator: [Operator Instructions]Showing no further questions. This concludes our question-and-answer session. I would now like to turn the conference back over to Mr. Victor Gobitz for his closing remarks.
Victor Gobitz: Thank you. Thank you everyone again for joining our conference call this morning. As final remarks, let me explain the following, all necessary measures and protocols are being considered to take care of the health of all our workers, contractors and neighboring communities at all levels.Buenaventura has restarted on May 16th operations through a two phase approach by prioritizing those mines with the most significant production. In Phase 1, Tambomayo, Uchucchacua, El Brocal and Coimolache and Phase 2, starting in June 16th includes recalibration of Orcopampa, Julcani and La Zanja.It's important to note that due to the implementation of the debottlenecking program, in fact reduced our operational fixed costs significantly and that allowed us to cope with these unprecedented split. The level of monthly fixed costs to maintain care and maintenance in all our mining in Africa was in the order of $12 million to $14 million. We have robust cash position. And in addition, we've managed to refinance a significant portion of our effect and we are preparing to do the same with a portion corresponding to the high electric plant once.Regarding our 2020 guidance, even though our experience in the last 60 days dealing with this unprecedented situation, we prefer to work carefully to define the new guidance 2020 at the end of June. Finally, the current quality of our assets and our financial position will allow us to overcome these sanitary prices and maintain our long-term business plan.Before we finish today's conference call, thank you very much for making the time to join us today. I hope you are all safe and practice all the recommendations given by the government. I look forward to see you in person as soon as possible. Thank you again and have a wonderful day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.